Operator: Good day, everyone, and welcome to Crown ElectroKinetics Fiscal 2022 Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow management’s remarks. This conference call is being recorded. A replay of today’s call will be available on the Investor Relations section of Crown’s website and will remain posted there for the next 30 days. I’ll now hand the call over to Allison Soss, Investor Relations for introductions and the reading of the Safe Harbor statements. Please go ahead.
Allison Soss: Thank you. Good morning, everyone, and welcome to Crown’s fiscal 2022 second quarter conference call. With us on today’s call are Doug Croxall, Crown’s Chief Executive Officer and Chairman; and Joel Krutz, Chief Financial Officer. Before we begin, I would like to remind you that today’s call contains certain forward-looking statements from our management made within the meaning of Section 27A of the Securities Act with 1933 as amended and Section 21E of the Securities and Exchange Act of 1934 as amended. Words such as may, should, projects, expects, intense, plans, believe, anticipates, hope, estimates, and variations of such words and similar expressions are intended to identify forward-looking statements. These statements are subject to numerous conditions, many of which are beyond the control of the company, including those set forth in the Risk Factor section of the company’s Annual Report on Form 10-K for the fiscal year ending March 31, 2021 filed with the SEC. Copies of these documents are available on the SEC’s website at www.sec.gov. Actual results may differ materially from those expressed or implied by such forward-looking statements. The company undertakes no obligation to update these statements for revisions or changes after the date of this call, except as required by law. Now, at this time, it is my pleasure to introduce Doug Croxall, CEO. Doug, please go ahead.
Doug Croxall: Thanks, Allison. Thanks, everybody for joining us this morning. I’m going to start in get my report on the operational performance of the quarter, and then I’m going to hand it over to Joel who’s going to go through his report on our financial results. But I like to start because we have a lot of new shareholders. So for those of you who are new to the Crown story, I like to start with our mission. Our mission is to provide an affordable smart glass solution to the commercial real estate market that will enable its customers to reduce energy expenses and in turn lower carbon emissions. Our first product is called the Smart Window Insert powered by DynamicTint. It’s an affordable, solar powered insert, which does not require hard wiring and can be easily installed in the interior side of the existing window in commercial office. Crown’s DynamicTint, which is our pigment based in film was initially developed by HP and is based on our proprietary and patent protected electro kinetic technology. At Crown, we recognize that windows are inefficient insulators causing HVAC systems to use unnecessary amounts of energy, leading to increased energy spend and excessive carbon emissions. Crown Smart Window Insert easily installs into a building’s existing window frame, leaving the existing window intact. This transforms a building single pane window into an energy efficient double pane smart window. Once installed, the insert is powered by a solar strip, eliminating the need to have each insert hardwired into the existing electrical system of the building. Our insert absorbed sunlight, thereby reducing the amount of HVAC usage leading to lower electricity costs, and more importantly, a smaller carbon footprint. The commercial building sector is under increased pressure from shareholders, tenants regulators, to reduce their HVAC energy consumption and reduce their carbon emissions. We are the only retrofit products in the marketplace. Crown Smart Window Insert is priced comparatively window blinds, which leads to a very competitive ROI and payback period. So our initial target market are the 5.6 million commercial buildings in the United States. Crown’s target customers are REITs or real estate investment trusts. At this time, Crown’s engaged with over two dozen REITs through an iterative customer discovery process. While previous technologies focused on smart glass market have been around for over two decades, these technologies have frankly fallen short of what the market demands and what the market can afford with legislative support and growing social awareness, building owners and tenants today are more aware of their surroundings and becoming more environmentally conscious in their decisions. Our Smart Window Insert has potential to be the dominant smart glass solution. We’re the only company in the world that manufacturers electro kinetic film and are the only company that offers a Smart Window Insert targeted at the retrofit market. We’re continuously refining our Smart Window Insert with guidance from customers and prospective customers to become a better solution. Earlier this year, we launched our initial field test in May, June of the summer from the 22nd floor of the Los Angeles building, where our patented ink technology was partially rendered into a window insert and then placed over single pane windows. In August, we announced the preliminary results that suggest the Crown Smart Glass Insert can reduce the HVAC energy costs of buildings by approximately 26%. At scale, such a reduction in HVAC utilization can also help lower carbon emissions. Additionally, the inserts are intended to reduce glare, improve tenant comfort, and eliminate the needs for window blinds. Recently, we started a second field test to test a new design of our framing system. We expect to have those results analyzed and published in about three to four weeks. About two years ago, we had our first meeting with Hudson Pacific Properties. Immediately, they recognize the potential value of our technology in their buildings. In June of 2020, Hudson became a strategic invest round. We’ve continued to work closely with their executive, their ESG and their engineering teams to identify the most efficient and meaningful way, in which to migrate our DynamicTint technology into a product offering. Our Smart Window Insert has been designed and developed with feedback from prospective customers, but none more active than Hudson. With Hudson’s lead, we are identifying two buildings in California to rollout our Smart Window Inserts with the potential third building in the Northwest. We are very excited to start this next chapter of our relationship with Hudson and expect to have other REITs follow their REITs soon. As you’re also aware, we announced our first commercial agreement – MetroSpaces, a proptech-focused real estate holding company as our first customer. We’ll install our Smart Window Inserts in their 70,000 square foot Houston office building. This rollout will help MetroSpaces enhance the efficiency of their existing windows, eliminating the need to replace their windows by easily installing our Smart Window Insert into the existing window frames. Our inserts are powered by solar energy, which means we do not have to hardwire anything into their electrical building. We’re pleased with our strong pipeline of other perspective customers and we’ll update the market with additional customer wins in the future. With our growing customer base, we also continue our preparation for in-house manufacturing. We look forward to keeping you apprised of our development and manufacturing progress as we target next quarter for deployment of our first Smart Window Insert. Now let me talk about the talented team that we built at Crown. Since our last call, we’ve made key new hires rapidly expanding our engineering, manufacturing, and marketing teams. These new ITs from backgrounds in thin-film development, manufacturing, and operations from companies like Tesla, Intel, Saint Gobain and Kodak. Their unique backgrounds are a perfect for Crown as we ramp up production for our Smart Window Insert. And most notably, to help this growing team, we’ve welcomed Mindy Hamlin as Vice President of Engineering. Mindy is a tremendous talented individual with extensive experience in leading and building teams throughout a product’s life cycle. Prior to joining Crown, Mindy served as the Director of Technology, Development, Infrastructure and Operations at HP. Looking ahead, we’ll continue to add talent as part of our rollout for our commercialization strategy. Now, I’ll pass the call on to Joel, who will review our financial results. Joel?
Joel Krutz: Thank you, Doug, and good morning, everyone. I’ll review our fiscal 2022 second quarter financial results. Crown’s net loss for the quarter ended September 30, 2021 was $5.7 million, which included $3.1 million of non-cash stock-based compensation expense. This net loss was $0.1 million lower than the same quarter last year with a $2.1 million increase in non-cash stock-based compensation and $1.4 million increase in operating expenses being offset by $3.6 million decrease in other expense. Total operating expenses for the quarter was $5.7 million, which included $3.1 million of non-cash stock-based compensation. Excluding the impact of stock-based compensation, operating expenses were $1.4 million higher than the same quarter last year. This was driven by a $0.4 million increase in both of the R&D and SG&A payrolls, a $0.4 million increase in consulting and professional fees, and a $0.3 million increase in operating overhead. Our other expenses were nominal for the quarter as compared to $3.7 million incurred for the same quarter last year. This decrease is primarily due to reductions and our interest expense following the conversion of all debt notes in the last fiscal. Net cash used for the second quarter was $2.8 million and this was consistent with the first quarter of this year. $2.5 million was deployed against operating activities and $0.5 million was invested in patents and equipment, while we had financing in flows of $0.2 million. As of September 30, 2021, our cash and cash equivalents were $9.7 million. And we’ve also recently agreed terms with a financial institution for $10 million standing letter of credit. This facility would potentially provide Crown with access to additional financing for our operations, if required during the company’s production ramp up phase for the next two years. And finally, to better align Crown’s operational and financial calendars, we’ll be changing our fiscal year end from March 31 to December 31 effective this year. This will mean, we close out the current fiscal for the nine months stub yet, and we’ll begin our new fiscal year reporting from January 1, 2022. That concludes our prepared remarks. Now, we’d like to open the call for questions. Operator, you can please go ahead.
Operator: Thank you. And at this time, we will be conducting our question-and-answer session. [Operator Instructions] Our first question comes from Gerry Sweeney with ROTH Capital. Please state your question.
Gerry Sweeney: Hey, good morning, Doug and Joel. Thanks for taking my call. I was wondering you could give a little bit more details on the Hudson Pacific rollout. It doesn’t sound exactly if the agreement is entirely formalized, but curious on that front, but two buildings to three buildings, what Hudson may be looking for and obviously they have 110 other buildings. How do we go from this sort of trial to a longer established maybe relationship contract, et cetera?
Doug Croxall: Yes. So I’ll take that question. So we know that we’re moving forward with Hudson. And what we’re trying to do is identify the first couple of buildings would make the most sense for us to rollout and for Hudson, a lot of their buildings are owned with other partners. And so one of those buildings that we’re targeting, we want to get as much exposure as we can, not just the Hudson, but some of their other financial back. It’s looking like, it’ll be a building in the LA area, a building in the Bay Area, in a building in either Seattle or Vancouver. So, and it’s not a trial, I mean, this is a real customer contract, where they’re actually buying the product and we’re building it and installing it. So it’s more of a phase rollout than – certainly than a trial. And there’s a lot of decision-making that goes into, which buildings when you have 110. But our expectation is that we’ll start with the first couple and then we’ll start to rollout across the rest of the portfolio throughout 2022.
Gerry Sweeney: Got it. I suspect, I mean, in the press release, you highlight two buildings and then potentially third, but there’s – it sounds as though there’s also a discussion for additional buildings behind me as well.
Doug Croxall: Yes, of course.
Gerry Sweeney: Got it. And then obviously, I know, you’ve been speaking and meeting with a bunch of REITs and you mentioned it too doesn’t REIT that you’re in customer discovery process. What does this process entail? And maybe could you provide some qualitative background as to, what you’re discussing, what the feedback is, and this is obviously a customer funnel. How does it sort of narrow down to what everybody’s looking for additional contracts or opportunities.
Doug Croxall: Yes. So quite frankly, the first few meetings typically are making sure you get to the right decision-maker. And because this is our product kind of straddles operations, engineering, ESG, tenant relations, leasing, there’s a lot of different parties that are interested in what we’re doing within the REIT. So the first few meetings are literally explaining what a Smart Window Insert is, because one doesn’t exist anywhere other than what we’ve made. And then it’s making sure that we get to the right party. And a lot of these REITs have – they have office buildings, they have warehouse, they have hospitality, they have medical facilities. So we’re trying to be very focused on U.S. office buildings. So it’s really part of the first set of meetings are really identifying the right person to speak with. And then really understanding what the problems are that they have and making sure that their problem, which are windows that are inefficient, are in alignment with what our solution is. And so far, we’ve been – I don’t want to say bad in the film, but we’ve not had any REIT say, we’re not interested in moving forward. It’s actually quite the opposite. Most of what we hear is, when can we get a demo, when can we get a prototype sent to our facility and that’s what we’re quickly building and getting out to the market. So it’s a bit of a process, but that process has been ongoing. And so we’re kind of coming towards the end of the funnel, if you will. And we should have a lot more announcements coming at the market over the next two to four months, I would say.
Gerry Sweeney: Got you. And final question as obvious, has to deal with manufacturing capacity sort of, that’s obviously the next step in the process. How’s that coming along and maybe address the buildup positioning and if you’re having supply chain issues that you’re hearing, like, acknowledge them across a lot of conference calls, if you’re having any issues on that front as well.
Doug Croxall: Yes. We are not having supply chain issues yet. I know that a lot of companies are, we have not – doesn’t mean that we won’t in the future, but we have it. So if we do, that’s obviously a risk that we would publish in our Q’s and K’s and let the market know. But so far, we haven’t seen anything, where that does not mean that we won’t. As a matter of fact, my office overlooks Santa Monica Bay, and every day, there’s more and more cargo ships that are lining up on the horizon. So I know it’s a problem, but it hasn’t reached us yet. As far as manufacturing capabilities, we’re able to make our own film right now. We are gearing up to be able to assemble as many inserts as we can. And we’re also looking at how to expand and when to expand, so that we can meet what we think is a growing demand from our current and prospective customers.
Gerry Sweeney: Got it. Thanks, Doug.
Doug Croxall: Sure.
Operator: Our next question comes from Jeffrey Campbell with Alliance Global Partners. Please ask your question.
Jeffrey Campbell: Good morning, Doug. The first thing I asked is just to pick up on something you mentioned today, what’s behind this new framing design that you referenced?
Doug Croxall: Yes. So the old framing design was more of a – just a gasket, no real insulative properties to it. And our insert fit within the mulling. So it didn’t cover the mulling, the mulling is the frame. And when we were doing that test over the summer, we noticed that a lot of heat was still radiating through the frame or the mulling in the sill. And so we redesigned – and frankly, the gasket didn’t look like it fit in the building. It looked like it was and add on. And so we redesigned our framing systems so that it looked more like the exact framing system of the building. And so the second go around with the new framing design is more insulative, because it’s covering the mulling and therefore protecting a lot of that heat from radiating into the office. And it looks exactly like the existing framing system, when the building was built. And the perspective customers that we’ve demonstrated the new framing system for, frankly, couldn’t tell the difference, is matter of fact, many of them said, this looks exactly like it was a part of the building when the building was built, 30 years ago. So the system was meant to do two things. One, aesthetically, the look of Smart Window Insert, and from an ROI perspective, improve the performance of the insert. So – and then as far as how that relates to their field test, Jeffrey, is that we’re trying to get a number of days, where the weather – now matches the weather pattern that we used – that we experience, I should say, over the summer for the first field test. So that we can draw comparison and say, oh, this new design has increased the energy savings by an additional X percent. So our challenge right now is to get Mother Nature to coincide now with what we experienced in the summer. We have a pretty good dataset, but we want to have a pretty robust data set, because it’s an important number. So we’re going to – we’re continuing to test, hopefully in another three or four weeks, we have enough meaningful data in our data set to draw that comparison.
Jeffrey Campbell: I certainly wouldn’t recommend Manhattan for that data capture right now. So I stick to where you are. I was just wondering if you could provide us some color on the economics and the strategy underlying the reason IBM patent acquisitions and what your thinking was there.
Doug Croxall: Yes. So our Q is going to be published at the end of the trading day. So 4 o’clock your time. And the details will beat you. The purchase price was – Joel, what was the purchase price? 200?
Joel Krutz: 225.
Doug Croxall: $225,000. The assets are – I get this question a lot. Are the assets offensive or defensive? And the way I would categorize it is that they’re very good assets for Crown to own, because there are some claims in the portfolio that cover areas of technology that we very well may see our product and technology move towards. So we want to have ownership in that area so that we can make use or sell a product without worrying about infringing, somebody else’s patents. And frankly, there were some claims in the patents that we think other competitors will need a license to. And so it’s nice to hold those cards as well.
Jeffrey Campbell: Yes, that sounds great. And my last question is sort of thinking about the role around in 2022, but maybe just from a different perspective. I’ve been really quite impressed by Crown’s comprehensive preparation for product rollout, such as, the proper packaging for transport that you should maybe when we did a virtual visit. I’m just curious, are there any remaining gating items within Crown that you feel like need to be solved before you really start to accelerate installations over time?
Doug Croxall: We know the path that we need to go down and we’re moving down that path. So there’s nothing that’s unknown to us at this point. Now I say that, in two hours, I’ll get a phone call from Corvallis and they’ll say, oh, there’s something we don’t know. But right now, we know what direction we need to go and we know what steps we need to take. So we’re pretty confident in that regard. And it’s really just – right now, it’s a process of getting the tools built, getting the lines assembled and getting the lines running. But we think we’re pretty well-prepared. Moving from R&D or prototype to actual production is challenging for all companies, us included. But right now we feel we have a very strong handle. And frankly, when you look at the roster of employees that we have working on this, I’m blown away by the quality and integrity of our workforce. They’re – they come from proven winners and they’ve got a great set of experience and expertise that they bring to bear and it’s comforting to know that they’re working side by side with us.
Jeffrey Campbell: Okay, great. Thank you for answering my questions today.
Doug Croxall: Sure.
Operator: Thank you. Our next question comes from Shawn Severson with Water Tower. Please state your question.
Shawn Severson: Hey, thanks. Doug, can you talk a little bit about the process we goes through and what do they need to understand in order to figure out if your product is a good solution for them? So when you go through the sales process and you say they’re evaluating it, what does that mean?
Doug Croxall: Now it mean a lot of different things. It can mean – I mean not every REIT is the same. So oftentimes, it’s can we see the demo and I’ve been little travel recently, but we’re going to be back at it. I mean so it’s really getting out and demonstrating the product. That’s the stage that we’re at right now. We were able to do that with some of the REITs on the West Coast and that are a little easier for us to get to. But right now it’s really just getting in front of them. We’ve done a lot of Zoom calls and meetings. They’ve seen the product over Zoom. I want them to see it in person. And the nice thing about this insert, it’s not the same as buying a window. If you’re buying a window for a building, that means you’re removing a window. It’s a much more complicated and inconvenient process than a window insert where yes, I’ll buy a 1,000 inserts and put them in a building and see how it goes. I mean if they don’t like it, they can always remove it. But right now the demand that we’re getting from the REITs it’s pretty impressive and timing is everything. And you can’t – it’s not like three years ago, we sat down and we decided, okay, when we get this technology working, let’s productize it into an insert because at late 2021, there’s going to be a lot of momentum for building owners to do something to reduce their carbon footprint. It just happened to turn out that way. And so we feel that we have a really compelling technology that is provides a really good ROI that frankly for a few hundred dollars more is almost equivalent to the cost and blind. So the iterative process is really understanding where our inserts can get, which buildings need them, what’s easy for us to deliver in order to satisfy the demand that we’re seeing from some of the REITs. So we’re in that – look, we’re in a really unique place right now for five years, the core team of engineers have been at trying to develop this technology. We’re now finally getting to that stage where you can see five years of efforts turn into a product and a product that companies want to buy and put in their building. It’s an incredibly satisfying journey, and it’s a really – it’s an awesome place to be. So right now, it’s just about getting out meeting with that we’ve been talking to and starting getting them to sign purchase orders delivered. That’s the phase that we’re in right now.
Shawn Severson: And from their perspective, I mean, they look at how they might roll this out. So I assume they look at their portfolio properties and they understand the product and the technology, the attributes. And then they look at their portfolio of buildings and say, let’s start with this one or someone like Hudson a couple of trying to understand what – how do you think that they would roll out or with if you having success in Hudson, would people be more aggressive and say, okay, let’s take bigger bites at the apple. Let’s say for roll outs.
Doug Croxall: That’s number one. That’s a great question. And it’s actually a little bit of both. Some are, I want to try, I want to see it in different regions and see how it performs. I want to see what the tenants think. And by the way, the biggest pressure on building owners in my opinion is not coming from any regulatory body, but actually coming from the tenants that are in the building. So which is nice for us, because customers are critical for everybody, including REITs. So we see a little bit of everything. We see some companies are like, hey, we want to start with a handful of our properties and then roll it out across the rest of the portfolio. And some are like we’ll try with a couple of buildings and see how it goes for six months, and then maybe we’ll expand. So we get a little bit of both. And then it kind of gets into for us, it gets into how much of this can we make and how quickly can we deliver. Also a good problem to have, but we’re moving in that direction right now. So to answer your question, Shawn, it’s a little bit of both.
Shawn Severson: And I guess the question around another good problem to have, but will it be bottlenecks and installation? I mean what happens if all of a sudden you get you’re working on the manufacturing side, but what about if you get big orders? How does the installation process work and the rollout times?
Doug Croxall: Yes. So the way that will do our installation and we’ve done an installation already, we did it in our office in Los Angeles. But the way that our installation will work eventually is it will have a crew of Crown employees. It will be responsible for the installation within a building. It’s a labor intensive. I mean it’s a manual process. It’s not hard, but it is a manual process. So we’ll likely have – we’ll start off with pure Crown employees doing all the installation, because we want to understand the best, fastest, most efficient way to do it with the least amount of inconvenience to our customers. But over time, it’ll likely look like a crew leader from Crown employees with a team of laborers that are probably locally sourced that are handling the installation in buildings. But you’re right. I mean these are all good problems to have. When you have a demand and you have customers that want your product, you got to build it, you got to ship it, you got to install it. And so we’re thinking through those problems and those processes right now, we think we have a pretty good plan for it.
Shawn Severson: Great. I think to take the rest of my questions offline. Thanks so much.
Doug Croxall: Okay.
Operator: Thank you. [Operator Instructions] Our next question comes from Tom McMahon with McMahan Capital Management. Please state your question.
Tom McMahon: Good morning, you too. Doug, specifically related to your patent acquisition strategy and my question in effect you have conventionally answered it in an earlier statement, but phrase somewhat differently, the most recent in recent months, your – the patent additions to your portfolio, were they intended more to impact the manufacturing process or the manufacturer product, Doug?
Doug Croxall: So not so much the manufacturing process as much as what might be the manufacturer product.
Tom McMahon: Got it.
Doug Croxall: When we look at IT, we look at where the – what the IT claims to have invented, and we look to see if that’s something that we need for our current product or potentially for our future plans. We also look to see if potentially it’s a claim, a patented claim that could be used by a competitive technology out in the marketplace. So all of those factors kind of come to bear when we make a purchase decision and it’s not so much led by the manufacturing process right now is the actual product or what the product might be or a product that’s being used, sold, or manufactured by a competitor. And it doesn’t mean we won’t look for manufacturing process type intellectual property, we certainly will. And we’ll also invent a lot of our own processes that will be either patented or protected by trade secrets.
Tom McMahon: Got it. Okay. And one unrelated question that show my ignorance, the time lapse Doug between the fabrication and installation. Is there – at what point does that become a material risk or none at all? I mean can product accumulate unintentionally at the job site? I don’t mean open to the elements, but are in a warehouse, does that affect the product’s efficacy?
Doug Croxall: No, it won’t. Number one when the product is shipped from our facility in Oregon to wherever the building happens to be. Our expectation is that it’ll be installed almost immediately. And we’ve actually designed shipping containers, not the containers that go on a semi truck, but our own containers that hold our inserts in a way that allows us if we have to store it in a building over long periods of time. We don’t expect that we will. We think that once the inserts arrived there’ll be installed, because they’re installed pretty easily on the inside of the office. So we don’t see that as a risk. We don’t think there’ll be an accumulation of inserts at a building. We think they’ll get installed almost immediately.
Tom McMahon: Yes. Good. Thank you.
Operator: Thank you. I see no further questions in the queue. At this time, I’d like to turn the call over to Mr. Doug Croxall, CEO and Chairman for closing remarks.
Doug Croxall: All right. Thank you, Diego, and Joel, and Allison for participating today. And I want to thank all of those who dialed in both on the phone and on the webcast. I mentioned this earlier in our remarks, and I want to touch on it one more time. There’s been a team of engineers that left HP to follow a dream. And that dream was to build this technology. And that dream has turned into a much bigger dream and with a much bigger purpose, frankly, in that purpose is to get our technology out into the marketplace. Not only to help building owners save money, but more importantly to help reduce the carbon that buildings put out in the environment. And I feel that this company has a mandate. We must do this. We have a role to play in the war on climate, and we think we have a really important role in that regard. And so it’s amazingly satisfying to get to the point where you’re finally getting your product built and delivered. And you’re getting customers who are excited to buy and install your product. And it’s been a long road. Sometimes it felt like we’d take three steps forward and 16 steps backward, but we’re finally getting to that point where we can see all of the efforts that we put into this start to bear fruit. And I want to thank everyone who participated in that process, and I’m really excited about what we have in store, not only for our shareholders and not only for our customers, but for the world moving ahead. So thank you, everybody for listening, and I look forward to talking to you soon. And if not before certainly our next earnings call.
Operator: Thank you. Thank you. This concludes today’s conference call. Thank you for participating. You may now disconnect. Have a good day.